Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden Inc. First Quarter 2017 Earnings Conference Call. Just a reminder, this call is being recorded. I would now like to turn the call over to Kevin Maczka. Please go ahead, sir.
Kevin Maczka - Belden, Inc.: Thank you, Lauren. Good morning, everyone, and thank you for joining us today for Belden's first quarter 2017 earnings conference call. My name is Kevin Maczka. I'm Belden's Vice President of Investor Relations. With me this morning are John Stroup, President, CEO and Chairman; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and we have prepared a slide presentation that we will reference on this call. The press release, presentation and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to slide 2 in the presentation. During this call, management will make certain forward-looking statements in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For more information, please review today's press release and our Annual Report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation and the Investor Relations section of our website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. I will now turn the call over to our President, CEO and Chairman, John Stroup. John?
John S. Stroup - Belden, Inc.: Thank you, Kevin, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to slide 3 in our presentation for a review of our first quarter highlights. We are pleased with our first quarter results, including organic revenue growth and EBITDA margin expansion. Overall, the business is performing in line with our expectations and is off to a solid start this year. On an organic basis, we grew revenues by 40 basis points to $551.4 million, driven by our Broadcast, Enterprise and Industrial platforms. EBITDA grew 4.4% year-over-year from $89.1 million to $93 million. EBITDA margins expanded 50 basis points from 16.4% in the prior-year period to 16.9%. EPS in the first quarter was $0.92 compared to $1.01 in the prior-year period. Excluding the impact of the preferred equity issuance in July 2016, earnings per share grew 12%. As a result of this solid start to the year, we are reiterating our full year revenue and EPS guidance. I'd like to thank our associates for their hard work during the quarter and their commitment to aggressively executing our strategic plan. Please turn to slide 4 for a review of our business segment results. Our formerly-known segments of Industrial IT and Network Security will now be presented as the Network Solutions segment. This is consistent with our organization structure and how we evaluate business results. As a result, we are now reporting four segments, Broadcast Solutions, Enterprise Solutions, Industrial Solutions and Network Solutions. Segment information for the 2016 quarters has been revised to conform to this change and is included as an appendix to this release. Turning now to the segments. Broadcast revenues in the quarter were $168.6 million compared to $171.3 million in the year-ago period. On an organic basis, revenues increased by 50 basis points. Grass Valley grew 3.1% organically. Recall that 2017 represents year one of a new four-year broadcast cycle for Grass Valley, and year one is typically down compared to the prior year. Our first quarter performance supports our view that Grass Valley will outperform its historical year one trend. We are especially pleased that the first quarter included another significant multi-million dollar order with a major network for our open architecture IP infrastructure system. Our Broadband business, however, had a softer quarter with an organic decline of 1.5%. We experienced a temporary pause isolated to two specific customers and expect this business to return to mid-single digit growth for both the second quarter and full year. Segment EBITDA margins were 15.1%, increasing 150 basis points from the prior-year period. Enterprise revenues increased 2.9% organically to $145.7 million. End-market demand for new non-residential construction and smart buildings remains healthy, as evidenced by the 12% growth in our innovative Category 6A Cable products, which deliver data and power over Ethernet Additionally, we experienced significant growth in our international markets. EBITDA margins in the fourth quarter were 16.5%, normalizing as expected from fourth quarter 2016 levels and increasing 270 basis points sequentially. Revenues in our Industrial Solutions platform increased 40 basis points organically. Discrete manufacturing, our largest vertical, experienced robust organic growth, expanding 5% with solid demand from machine builders. We are pleased with another quarter of growth in this market, driven by increasing investments in automation. Oil and gas continue to be weak, declining 31% year-over-year. Recall that first quarter 2016 benefited from favorable project timing. We expect these headwinds to subside as we are seeing stabilization in this end market. Looking forward, we are extremely encouraged by the overall Industrial Solutions orders, which increased 11% year-over-year and drove a book-to-bill ratio of 1.06 times. EBITDA margins increased 130 basis points from the year-ago period to 17.6%, driven by productivity initiatives and favorable mix. Revenues in our Network Solutions segment declined 3.5% organically from the prior-year period to $90.9 million, in line with our expectations. EBITDA margins declined 130 basis points year-over-year to 19.7%, largely related to unfavorable product mix and increased investments in new products. Given the new segment presentation, we thought it would be helpful to comment on the performance of the legacy platforms. We were especially pleased with the formerly-known Industrial IT platform, which increased 8% organically, including strong growth of 16% in discrete manufacturing. As expected, the headwinds persisted at Tripwire, which declined in the quarter. Importantly, we are encouraged by the progress made in addressing the business challenges, including significantly improved sales force retention, a pipeline of quality projects and a number of new product launches. In addition, the comparisons are much more favorable beginning in the second quarter. For the segment, we expect second quarter sales to increase approximately 11% to 13% sequentially and 2% to 4% year-over-year. I will now ask Henk to provide additional insight into our first quarter financial performance. Henk?
Hendrikus Derksen - Belden, Inc.: Thank you, John. I will start my comments with results for the quarter, followed by a review of our segment results, a discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to slide 5 for a detailed consolidated review. Revenues in the quarter were $551.4 million, increasing 1.4% from $543.8 million in the first quarter 2016. Higher copper prices favorably impacted revenues by $9.3 million, and currency translation reduced revenues by $3.8 million. After adjusting for these factors, revenues increased 40 basis points organically from the prior-year period. Sequentially, revenues decreased $56.8 million from $608.2 million, in line with typical seasonality. Gross profit margins for the quarter were 41.4%, decreasing 90 basis points from the prior-year period, mainly due to higher copper prices. As a reminder, when copper costs increase, we raise selling prices, resulting in higher revenue, with minimal impact to gross profit dollars. As a result, gross profit margins decreased. Sequentially, gross profit margins decreased 200 basis points due to the seasonal pattern of our Grass Valley business and Network Solutions platform. Operating expenses for the quarter were $147.4 million or 26.7% of revenues, decreasing $4.7 million from the prior-year period, driven by productivity initiatives. Sequentially, operating expenses decreased $6.6 million. EBITDA was $93 million in the quarter. Compared to the prior year, EBITDA increased $3.9 million or 4.4%. EBITDA margins were 16.9% in the quarter, increasing 50 basis points from the prior-year period and decreasing 320 basis points sequentially. Net interest expense of $23.5 million for the quarter decreased $900,000 from the prior year and increased $400,000 sequentially, driven by the number of days in the period. For the full-year 2017, we expect interest expense to be approximately $94 million. The effective tax rate for the first quarter was 18.2%, compared to 20% in the prior year and 19.9% in the prior quarter. For financial modeling purposes, we recommend using a 20% effective tax rate for the second quarter and full-year 2017. Net income in the quarter was $47.8 million, increasing $5.1 million or 12.1% from $42.7 million in the prior-year period. Earnings per share was $0.92 in the quarter, compared to $1.01 in the prior-year period. The dilutive impact of the preferred equity issuance in July 2016 was $0.20 in the quarter. Please turn to slide 6. I will now discuss revenues and operating results by business segment. Our Broadcast Solutions segment generated revenues of $168.6 million in the first quarter. Revenues decreased by 1.6% from $171.3 million in the prior period. Currency translation had an unfavorable impact of $1.5 million. On an organic basis, revenues increased 50 basis points year-over-year. Broadcast EBITDA margins were 15.1% in the quarter, increasing 150 basis points due to productivity improvements. Our Enterprise Solutions segment generated revenues of $145.7 million during the quarter, growing 7.2% compared to the first quarter 2016. Higher copper prices increased revenues by $4.5 million, while currency translation reduced revenues by $700,000. On an organic basis, revenues increased 2.9% from the prior-year period. EBITDA margins were 16.5% in the quarter, decreasing 100 basis points from the prior year and increasing 270 basis points sequentially as expected. Industrial Solutions segment generated revenues of $146.2 million in the quarter, an increase of 3.6% from $141.1 million in the prior-year period. Copper had a favorable impact of $4.8 million, while currency translation reduced revenues by $300,000. On an organic basis, segment revenues grew 40 basis points in the quarter. We are pleased with this result and encouraged by robust order growth of 11% in the quarter. EBITDA margins of 17.6% increased 130 basis points year-over-year, driven by productivity initiatives and mix. Our Network Solutions segment generated revenues of $90.9 million, down 4.8% from $95.5 million in the prior-year period. Currency translation had an unfavorable impact of $1.3 million in the quarter. On an organic basis, revenues declined 3.5% year-over-year. EBITDA margins of 19.7% decreased 130 basis points from the prior-year period, driven by product mix. If you will turn to slide 11, I'll begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the first quarter was $816 million compared to $848 million in the prior quarter and $146 million in the prior year. The year-over-year increase reflects the improvements made to our balance sheet and robust free cash flow generation. Working capital turns were 8.1 turns, improving 0.6 turns year-over-year. Days sales outstanding was 64 days in the first quarter, an increase of 7 days sequentially and 4 days year-over-year. As a reminder, fourth quarter 2016 days sales outstanding benefited from the timing of customer prepayments. PP&E turnover was 7.1 turns, improving 0.3 turns year-over-year. Our total debt principal at the end of the quarter was $1.66 billion compared to $1.64 billion in the fourth quarter and $1.72 billion in the first quarter 2016. The year-over-year decrease reflects both the reduction – the debt reduction in 2016 and currency translation on our euro-denominated debt. Net leverage was 1.9 times net debt to EBITDA at the end of the first quarter compared to 1.8 times in the prior quarter and a significant improvement from 3.7 times in the prior-year period. Please turn to slide eight for a few cash flow highlights. Cash flow from operations in the first quarter was negative $12.3 million compared to positive $12.6 million in the prior year, reflecting the timing of customer payments. Net capital expenditures were $10.4 million for the quarter, down $3 million year-over-year. As a result, free cash flow was a use of $22.7 million in the first quarter 2017 compared to a use of $800,000 in the prior-year period. For the full year 2017, we expect to achieve free cash flow in the range of $260 million to $270 million. That completes my prepared remarks. I would now like to turn this call back to our President, CEO and Chairman, John Stroup, for the outlook. John?
John S. Stroup - Belden, Inc.: Thank you, Henk. Please turn to slide nine for our outlook regarding the second quarter and full year 2017 results. We delivered solid first quarter results that were in line with our expectations. As a result, we are reiterating our full year 2017 revenue and EPS guidance. Our Industrial, Enterprise and Broadcast platforms will continue to perform well and capture share. We expect our Network Solutions platform to return to growth as we benefit from the corrective actions taken approximately six months ago. Consistent with our commitment to continuous improvement, we expect further EBITDA margin expansion across the organization in 2017. Further, we are well positioned with a number of attractive inorganic opportunities. We anticipate second quarter 2017 revenues to be between $595 million and $615 million and EPS of $1.15 to $1.25. For the full year, we continue to expect revenues between $2.355 billion and $2.405 billion, and we continue to expect EPS of $4.95 to $5.20. That concludes our prepared remarks. Lauren, please open the call to questions.
Operator: John Stroup, your first question is from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Hi, guys. Thanks. Good morning.
John S. Stroup - Belden, Inc.: Good morning, Noelle.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: I just wanted to dig into the Broadcast platform a bit more. First, just given the slowdown that you saw on Broadband, can you just give us a reminder of the key drivers there and a better sense of what's driving that acceleration as you move into the remainder of the year? And then, if you could give us a sense on some of the trends that you're seeing at Grass Valley from both a geographic and a product standpoint.
John S. Stroup - Belden, Inc.: Sure. So, in the Broadband business, we saw a couple of our larger customers manage their inventory positions much more closely than they have in the past. And also, we saw them pause slightly on some of their marketing programs as they're dealing with some of the consolidation in the industry. Based on our conversations with those customers, we believe those are temporary and isolated to the first quarter. And therefore, our team – our Broadband team feels good about the second quarter and feels good about the full year. We're really not concerned about it. We view it as a very temporary phenomenon. And then, as it relates to Grass Valley, revenue growth was more balanced this quarter from a geographic point of view. Our domestic business and our international business were both up about the same, about 3%. I would say that activity in the first quarter was – as we expected, it was good. I was actually just at the largest broadcast trade show annually every year last week, met with all of our largest customers. And it's extraordinarily clear that our team is winning. We're winning the high-profile projects. But more importantly, I think our team is winning more than their fair share of the other projects. So, we exit first quarter very confident in the Grass Valley team and product line and the business, and we feel confident that the situation with the Broadband business is temporary.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Great. And then, shifting over to Networking Solutions. With – regarding Tripwire, can you just give us an update on how the effort to cross-sell into the industrial market are progressing and where you stand there?
John S. Stroup - Belden, Inc.: So, I would say the activities at Tripwire on the industrial side are going well. And the real challenge we have at Tripwire, and it's the same challenge we've been talking about for the last two quarters, is growth within the Enterprise segment. That continues to be the challenge and, in particular, growth within the Enterprise segment in North America. I do think the team has made a lot of progress. We focused on improved sales force retention. That's gone well. We focused on a couple of important product launches, one of which we made here in the last week, which I think is important. And we fully expect that we'll see the benefits of those activities starting in the second quarter, which is why I mentioned, Noelle, that we would expect this segment to grow in the second quarter sequentially double digit and, on a year-over-year basis, 2% to 4%. So, I feel like we're moving into a much better patch with Tripwire. But there's no question that's been a major area of focus for me and the other team members here at Belden.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: All right. And then, if I may have one more. Can you give us an update on your M&A pipeline and particularly where you stand with Digi at this point?
John S. Stroup - Belden, Inc.: So, we have a number of opportunities within the pipeline that I would characterize as being in the advanced stages of our funnel and our activity. I would hope that we would have something that we could announce in the not-so-distant future. As it pertains to Digi in particular, we really don't have anything more we can comment at this time. We're – maybe like a lot people, we're anxious to hear their earnings release later this week to see how they're performing, but really don't have anything else to comment at this point.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
John S. Stroup - Belden, Inc.: Thank you, Noelle.
Operator: Sir, next, we'll go to Shawn Harrison with Longbow Research.
Shawn M. Harrison - Longbow Research LLC: Good morning, John.
John S. Stroup - Belden, Inc.: Hey, Shawn.
Shawn M. Harrison - Longbow Research LLC: Just want to go back to Tripwire in that legacy nomenclature, but my back of the envelope says it was down maybe 20% year-over-year in the first quarter. Is that right? And then, as we move into the second quarter, what type of year-over-year growth rate do you expect from Tripwire? Do you just expect it to get back to kind of level bubble at that point of time?
John S. Stroup - Belden, Inc.: Yeah. Shawn, so your math is pretty close. I think the Tripwire business in the first quarter was down about 18%, so you're directionally correct. In the second quarter, we would expect the Tripwire business on a year-over-year business to be about flat. And that would be kind of the turning point, in my view, of the business, Shawn. So we would expect that we would see growth in the back half with Tripwire. And as I said on the earlier comments to Noelle, the improvement needs to come in North America Enterprise. It's the largest vertical for them. It's the area where they struggle the most. And as I said before, we believe the root cause has been sales force retention and also new product development, new product launches. And I feel like we've made good progress on both. So I've got a lot of confidence that we're going to see that show up in the results starting in the second quarter.
Shawn M. Harrison - Longbow Research LLC: Okay. It's helpful. And then, second, maybe just talk about the progress of both the Industrial Solutions business, as well as the old Industrial IT business as the quarter progress in terms of growth in bookings and maybe what you've seen through April now?
John S. Stroup - Belden, Inc.: So both of those businesses had very strong results in our discrete manufacturing vertical, which is what you would have expected. They diversed a little bit in oil and gas. So our Industrial Connectivity – or sorry, our Industrial Solutions business had more headwinds in oil and gas because they had a large project they shipped in the first quarter of last year, I think it was in Canada, that was actually on the order book the year prior. So you may recall, Shawn, that in the first quarter last year, we did a little bit better in the oil and gas vertical than what we expected, and that was because of that project. But if you look at it on a full-year basis, we're expecting that we're going to see growth in all of our verticals within our two industrial businesses, except for oil and gas. So on a full-year basis, we're still expecting oil and gas to be down slightly. We're expecting our discrete business to be up somewhere between 3% to 5%. We're expecting process outside of oil and gas to be up 3% to 5%. We had good orders in the quarter. Our orders at Industrial Solutions were up 11%. We had a good book-to-bill. Order rates in April have been good. Activity is good. So we came into the year thinking that our Industrial businesses were well-positioned. I think they are. Our Industrial IT business was up 8% in the quarter. So I would expect our Industrial businesses to do very well throughout the year. Our Enterprise businesses seem well-positioned throughout the year. Our Broadcast businesses, I think, are well-positioned. For me, the focus is really on seeing the improvement at Tripwire in the second quarter and then continuing to make progress on these inorganic activities.
Shawn M. Harrison - Longbow Research LLC: Okay. Very helpful. And, Henk, if I may, just a clarification for SG&A into the second quarter on a dollar basis, maybe where you'd expect that to range?
Hendrikus Derksen - Belden, Inc.: So slightly up from the first quarter, roughly $8 million to $9 million up from the first quarter, Shawn.
Shawn M. Harrison - Longbow Research LLC: Perfect. Thanks, guys, and congrats on a good start to the year.
John S. Stroup - Belden, Inc.: Thank you.
Operator: And, sir, your next question comes from Sherri Scribner with Deutsche Bank.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi. Thank you. I just wanted to dig into the Enterprise segment a little bit. Strong growth there and good growth on an inorganic basis, but the margins came down. I think you said it was in line with your expectations. Can you maybe talk through the trends that you're seeing there and what pressured margins on a year-over-year basis?
John S. Stroup - Belden, Inc.: Yes, Sherri. So one of the challenges our Enterprise business has in the short-run is when there's movement in copper prices within a given quarter, sometimes they're not able to pass the price increases on as quickly as they consume the inventory they've already purchased. So if there is a negative consequence of having high inventory turns, it's that in a environment of rising copper prices, unfortunately, we have to deal with those rising prices a little bit sooner than some of our competitors. And, therefore, sometimes we have a slight mismatch between our pricing and the copper that we're consuming in it as it relates to the products that we're building. So that was the big challenge for the Enterprise team on a year-over-year basis. We did see improvement sequentially in Enterprise from Q4 to Q1, but that was a bit of a challenge for us on a year-over-year basis. Nothing else is going on. Product mix is good. Connector revenue was up substantially in the business on a year-over-year basis. That's favorable to mix. CAT 6A was up. That's favorable to mix. So it's not anything that I'm concerned about.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: And how long would you take – expected to take to pass on those higher copper prices? Would you expect to see more normalized margins in the second quarter, or does it take more than two to three quarters?
John S. Stroup - Belden, Inc.: It would normally be about 90 days, so I would expect to see it show up in the second quarter results.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Okay. Great. And then, John, if I could just ask you sort of a macro question. What is your feeling from customers about the macro outlook? How are customers thinking about growth this year? And how confident are they in spending? Thanks.
John S. Stroup - Belden, Inc.: Sure. So, it varies, of course, a little bit by segment. But I would say the general mood is positive. I think that the people that I talk to have some optimism as it relates to a more business-friendly government in the United States, a feeling that interest rates are going to remain relatively low even if they pick up a little bit, by historical standards, are going to remain low. There's a lot of pent-up demand, I would say, particularly in the industrial end markets. So, there's a real change, I would say, in sentiment with our customers now compared to even, say, six to nine months ago.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thanks so much.
John S. Stroup - Belden, Inc.: Thank you.
Operator: Sir, your next question comes from Rod Hall with JPMorgan.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Yeah. Hi. Thanks for taking my question. This is Ashwin on behalf of Rod. I want to go back to the discussion around weakness in the broadband market, and see kind of what gives you the confidence that this would be isolated to probably just one quarter? And the second question is on visibility across various businesses. It looks like activity levels have gone better in Enterprise and Industrial markets. So, I'm just wondering, like, if we should be thinking about possible upside to the 2017 guidance. Thanks.
John S. Stroup - Belden, Inc.: Sure. So, in order, I would say that the reason that we've got confidence with the Broadband business is because we have a number of large customer relationships that we've had for an extended period of time, and our intimacy with those customers is high and very constructive and collaborative and we also have a very experienced management team with our Broadband business. And therefore, they have a lot of credibility with us. And so, we have conversations with those customers frequently. We have visibility to the movement of their product off their shelf under their inventory. We have VMI in many cases. So, we have a lot of visibility into those customers, and that's the reason why I've got optimism that the team is going to perform as they forecasted. I would say the end market in Enterprise are stable. They've been good for some time. They continue to be good. Haven't really seen much of a change in Enterprise. But there's no question that the market is improving in the Industrial segment, particularly in discrete. And that discrete improvement is somewhat muted by the oil and gas headwinds that I believe are going to subside in the back half of the year. So, I think the strong demand in discrete is going to be more obvious to everybody in the second half when it's not offset by some of the weakness in oil and gas.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Okay. Thanks a lot.
Operator: Our next question comes from John Quealy with Canaccord.
John Salvatore Quealy - Canaccord Genuity, Inc.: Hey, good morning, folks. A couple of questions. First, I think, Henk, you were talking about the gross margin change year-on-year, if I get my numbers right, 200 basis points with Grass Valley seasonality and some Tripwire. Given the discussion on Tripwire in Q1 thus far, can you just break out what the delta was Grass Valley versus Tripwire? It seems more Tripwire?
Hendrikus Derksen - Belden, Inc.: No, the sequential – the change in margin you're talking to, John, was typical seasonality was from Q4 to Q1.
John Salvatore Quealy - Canaccord Genuity, Inc.: Got you. Yes, got you.
Hendrikus Derksen - Belden, Inc.: On a year-over-year basis, those profit margins came down slightly because of the math on the increase in our sales because of the pass-through of copper. So if we adjust for that, it's effectively flat.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay. So Tripwire isn't an unnecessary drag on the margin in Q1?
Hendrikus Derksen - Belden, Inc.: That's correct.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay, okay. Secondly, on Digi or the potential tender on Digi, John, is this sort of a feel or kill type of thing in your mind or is it open ended as a lot of M&A comes and goes in your pipeline? How should we think about it? We just get a lot of questions around this particular transaction. But how do you couch this particular one?
John S. Stroup - Belden, Inc.: Well, I would say, Digi, unlike most of the M&A that we're engaged in, is obviously a little bit more public. But Digi continues to be, in our opinion, a highly attractive business where, if it was a part of Belden, would be enormously valuable and shareholder value creative for both Digi shareholders and Belden shareholders. So, we continue to be very optimistic about the combination, very interested in the combination. And I would say, at this point, we're very interested in seeing how they perform in the quarter ending March. And maybe more importantly, we're very interested in how they see the rest of the year playing out. So, we're just going to be listening very closely to their earnings release. I think they'll go tomorrow, if I remember correctly, and then we'll continue to monitor.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay. Thanks. And then, last for you, John. So, at the broadcast show last week, I was struck by a lot of the industry focusing on virtualization and not quite a lot of talk about hosting for broadcast customers. But talk about some of the interplay there. Obviously, some of the teams were all focused on proprietary to IP and analog to digital and things like these. But from a business model perspective, talk about virtualization and hosting and how you see that move forward. Thanks, guys.
John S. Stroup - Belden, Inc.: Yes. So, I would say, at the show, there were two big themes. One was this whole thing about how they do a better job leveraging IT hardware and software through virtualization and hosting. And of course, this is all related to playout. And then, the second large trend was how they introduce IP into infrastructure investments. And I feel like, on the latter topic, we're extraordinarily well positioned. We've got a great solution. We've got a number of high-profile projects that we're working on, partnering in some cases with Cisco. And of course, with our open architecture, we're very, very well positioned. I would say, on the playout side, there was an acknowledgment by a lot of the large broadcasters that their efforts are not going as quickly as they would have expected and that's somewhat maybe surprising to us. Our traditional linear playout, our legacy business, which Grass Valley and Miranda have always very strong in, continues to grow. And I think that's because broadcasters recognize that, although over-the-top is important, it's still a relatively small percentage of their revenues, it's a very small percentage of their advertising. And therefore, making investments in their linear playout is important. So, I'd say it's an industry that's still in flux. It's not surprising to see, I would say, volatility in results by companies. I've heard this week, we had one of our competitors, Harmonic, went and they're obviously big in playout and they disappointed. And I think that's because they're struggling to get their arms around what's happening in that segment.
John Salvatore Quealy - Canaccord Genuity, Inc.: And, John, as a follow-up, just talking to some of the people there, sports and live seemed to be very – to your characterization, which I would agree with in terms of the broadcasters, I heard sports and live was a little bit more encouraged around spending versus maybe some of the general content producers. Can you talk about – from an end market perspective for you folks, I know you're more geared toward live, but what are you hearing from customer sentiments by content market? Thank you.
John S. Stroup - Belden, Inc.: Yes, yes, thank you. So, that's exactly what we're hearing, is that sports and live both – and news, by the way as well, both are the best lever for our customers to generate advertising spend, to generate revenue and those are the areas that they're most interested in making their investments. And so, conversations we had last week with all the major networks and rights holders around investments in sports was very encouraging. There's debate, by the way, about technology. HDR versus 4K continues to be a debate. But the good news is we are one of the first with a 4K camera. I think we have the best HDR camera. We clearly have the best switchers. So, I think when these customers make investments, we're extraordinarily well-positioned.
Operator: Our next question comes from Matt McCall with Seaport Global Securities.
Matt McCall - Seaport Global Securities LLC: Thank you. Good morning, everybody.
Hendrikus Derksen - Belden, Inc.: Good morning, Matt.
John S. Stroup - Belden, Inc.: Hi, Matt.
Matt McCall - Seaport Global Securities LLC: So, John, last quarter you gave some good insight into some point-of-sale data. I think you talked about it in Enterprise and Industrial. I think one was strong and one was very strong. Can you give us an update on those trends and how they're impacting your outlook?
John S. Stroup - Belden, Inc.: So our point-of-sale information was consistent with what we had seen in the fourth quarter; meaning, it was very strong. It was also in line with our billings. Inventory came down a little bit in the first quarter compared to the fourth quarter; not a lot, but some. And, therefore, our POS was a little bit stronger than our billings data. So I would say the POS data is consistent and supportive of how we view the year is going to play out.
Matt McCall - Seaport Global Securities LLC: Okay. All right. Let's see. Second question, the new Network segment, can you talk about the margin outlook you have there? I know in the quarter you said favorable mix, investments in products, you talked about elevated R&D, new segment kind of new numbers. How do you want us to think about the quarter or the full year for Network?
John S. Stroup - Belden, Inc.: I think on a full-year basis this segment ought to be generating EBITDA margins around 25%. And that would include healthy margins in both our hardware, routers and switches, wired and wireless switches, as well as our cyber security software products; and, of course, in both cases, a very healthy R&D investment. But EBITDA margins I would expect to be about 25%.
Matt McCall - Seaport Global Securities LLC: And does that include some recovery in Tripwire beyond what you're forecasting for kind of the flattish number for Q2?
John S. Stroup - Belden, Inc.: It does. It includes Tripwire performing, as expected, which will include improvement from the first quarter. But it also includes a healthy investment in R&D for new product development at Tripwire as well.
Matt McCall - Seaport Global Securities LLC: Okay, okay. And finally, Category 6A growth seems to slow a little bit sequentially, did I hear that right? And if so, is it just a matter of more difficult comps? Is there something else going on? I think last quarter it was 30% or 40% growth, if I remember it correctly.
John S. Stroup - Belden, Inc.: So it was up 12% in the first quarter. I wouldn't read too much into that. I mean, I think that's a healthy growth level. You're right, I think it is a little bit lower than it was the quarter before, but that product line is still a relatively small percentage of the total and it can be pretty strongly influenced by a big project here or there. So it's clearly the product category our team is leading with. And it is the preferred product for a lot of greenfields because of the fact that it has power over Ethernet in addition to high bandwidth.
Matt McCall - Seaport Global Securities LLC: Okay. Thank you, John.
Operator: We'll go next to William Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thank you for taking my question. Really, just on the Network Solutions combination. I'm wondering if that combination reflects a sales reorganization, too, whereby perhaps you have no more dedicated Tripwire sales people and they're more selling solutions in the network end market?
John S. Stroup - Belden, Inc.: No. The Tripwire sales force continues to be intact and predominantly focused in enterprise and government applications. There is a lot more collaboration though with the Belden Industrial sales force on cyber security opportunities. And there has been a lot more coordination between our legacy Industrial IT business and Tripwire in some of the back office functions like finance, for example. There's also been some activity within the engineering group to help them improve their speed of new product development. But the Tripwire sales force remains intact, independent, with their own sales force leader who has global responsibility and, again, predominantly focused on enterprise and government end markets.
William Stein - SunTrust Robinson Humphrey, Inc.: That's helpful. A couple more details on this though. Does this consolidation imply, or should we take it to mean you no longer expect to sell Tripwire into the broadcast end market? And then, I'd also love to hear your take on the difference between your Tripwire results and those of your partner, in some cases, FireEye, which looks like had very good results last night. Is that an indication that demand for this type of product is strong, but the sales force sort of issues that you've had in the past are sort of overwhelming your ability to capitalize on that opportunity in the near term?
John S. Stroup - Belden, Inc.: So, the first question is that this change in reporting structure is a reflection of how we're organized. So, the gentleman that is responsible for Tripwire and Industrial IT, same individual, the financial information is consolidated at that level and has absolutely no significance as it relates to the opportunities with Broadcast. So, we remain encouraged by opportunities in Broadcast, but we're also realistic about the fact that that's probably going to come – the market is probably going to come slower than industrial, given how nascent they are in the application of IT in their workflow management. Now, what just recently happened at Netflix might be an interesting stimulus for broadcasters paying more attention to the consequences of IP because, in the past, that wouldn't have been possible because they would have been on proprietary network. And we that conversations with a number of the large broadcasters about their cyber security initiatives. I just think we have to be realistic that it's not going to happen as swiftly as it's happened within Industrial. And then, your second question, as it relates to how much of our challenge is market versus execution, and I think that in this particular case we are dealing with both. If you look at the FireEye results that came out yesterday and you look at their billings as opposed to their revenue because, remember, their revenue is recognized in prior period activity, their billings were actually pretty weak and I would say somewhat consistent with us. If you look at Qualys, for example, which we compete with in vulnerability management, which is only about 15% of our revenue. They had a pretty good quarter, and we're seeing continued strength within vulnerability management, but we're seeing some softness within the SCM product line, which is about 85% of our revenue. And then, as I've said, there's no question that our execution needs to improve at Tripwire. We're doing really well outside of the United States. We're doing really well in verticals outside of Enterprise. But we're not doing as well as we need to in our core market, and I think that has to do with sales force retention, which I think we've addressed, as well as new product introduction that I think we're currently addressing and we've incorporated that into our full year guidance.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for the update.
John S. Stroup - Belden, Inc.: You're welcome.
Hendrikus Derksen - Belden, Inc.: Thank you, Will.
Operator: Our next question comes from Greg Mesniaeff with Drexel Hamilton.
Greg Mesniaeff - Drexel Hamilton LLC: Yes. Good morning. Just to follow up on the commentary about addressing the sales force turnover at Tripwire and the retention tools that you put in place. Are those tools now going to have to be implemented across the entire organization at Belden, or is it just really compartmentalized to Tripwire?
John S. Stroup - Belden, Inc.: I think it's largely unique to our sales force at Tripwire. By the way, some of the things we did there are things we had already done in other parts of the company. So, whether it was our ability to effectively communicate, our ability to make certain that we had good alignment with our quota setting. What I would consider to be just good sales practices that we needed to tidy up at Tripwire, which are not unique within Belden. But then, the other thing that we did because we were seeing a lot of these feedback cyber security companies and early-stage PE cyber security companies get more aggressive with our salespeople. We put in place a more lucrative compensation package for those folks that would kick in based on actual performance. So, more risk, more reward for the individuals, and of course, that is a program that resonates well with our high performers and probably it's a little bit concerning to those folks that are not performing as well. And that has been in place now for, I guess, we announced it and described it maybe about five months ago. And since putting that in place, we've seen dramatic improvement in sales force turnover. And I think that it's – I think it's working.
Greg Mesniaeff - Drexel Hamilton LLC: Thank you.
John S. Stroup - Belden, Inc.: You're welcome.
Operator: Kevin Meczka, there are no further questions at this time. Please continue.
Kevin Maczka - Belden, Inc.: Thank you, Lauren, and thank you, everyone, for joining today's call. If you have any questions, please reach out to the IR team here at Belden. Our e-mail address is investor.relations@belden.com. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.